Presentation:
Operator: Good afternoon ladies and gentlemen, and welcome to the Q1 2018 Nu Skin Enterprises Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference over to your host, Mr. Scott Pond, Vice President, Investor Relations.
Scott Pond: Thanks Christine, and thanks everyone for joining us today. On the call with me today are Ritch Wood, Chief Executive Officer; Ryan Napierski, President; Mark Lawrence, Chief Financial Officer; and Dr. Joe Chang, Chief Scientific Officer. During this call, comments will be made that includes some forward-looking statements. These statements involve risks and uncertainty, and actual results may differ materially from those discussed or anticipated. Please refer to today's earnings release and our SEC filings for a complete discussion of these risks. Also, during the call, certain financial numbers may be discussed that differ from comparable numbers obtained in our financial statements. We believe these non-GAAP financial numbers assist in comparing period-to-period results in a more consistent manner. Please refer to our Investor page at ir.nuskin.com for any required reconciliation of non-GAAP numbers. And with, I'll now turn the time over to Ritch.
Ritch Wood: Thank you, Scott, and good afternoon everyone. Thank you for joining us on this call. As you read in our press release today, Q1 revenue was very strong at $616.2 million. That's up 24% year-over-year and approximately $117 million higher than the first quarter of 2017. This revenue improvement was driven by strong customer growth of 11%, with sales meters up 16%. We also delivered strong earnings per share of $0.64, a 25% increase over the $0.51 that we reported in the prior year quarter. I would highlight that our earnings per share of $0.64 included a negative impact of $0.12 from the early conversion of a convertible debt instrument, and also a charge of $0.03 related to the amortization of intangibles associated with the recently announced acquisition. Neither of these two items was reflected in our previous guidance of $0.65 to $0.70. I'm very pleased with the first quarter results, which were driven by strong revenue growth and a modestly improved operating margin. Given our strong first quarter, we are raising our 2018 guidance which Mark will speak to in a few moments. In 2017, we designed our strategy focused on growing our customer base, to engaging platforms, enabling products, and empowering programs. We are still in the early stages of the execution of this strategy. However, we are encouraged by the results we are seeing. Ryan will provide additional color in his commentary. Our vision to grow this company is beginning to take hold. Our core Nu Skin business continues to strengthen and I'm also enthusiastic about the acquisitions we discussed on our previous earnings call, which solidify our supply chain and help us compete in a fast pace marketplace. While we added 3% to our revenue in the quarter, I'm most encouraged about our improved stability to be more innovative and get products to market faster. These manufacturing partners have state-of-the-art facilities and [indiscernible] to bring the very best products to market. They have strong growth potential and will add to our success. We also continue to make good progress on our indoor growing initiative. We believe this technology will enable us to produce higher quality and more pure ingredients in an eco-friendly and sustainable manner. We expect to see some of these ingredients added to select Nu Skin products by the end of this year. I will now turn the call over to Ryan to provide more detail on the execution of our strategy, and then Mark will provide insights into the financial details of this quarter and our increased 2018 guidance. Ryan?
Ryan Napierski: Thanks, Ritch, and good afternoon everyone. As Ritch mentioned, we are encouraged by the early results of our growth strategy as we focus on its three key pillars: Platforms, Products, and Programs. This strategy is focused on expanding our customer base, and we are pleased with solid 11% year-over-year growth. This is key to driving sustained growth of our sales leaders, which increased 16% year-over-year. Let me give you a little more color on our three strategic pillars. Regarding platforms, social sharing continues to be a powerful way to expand our customer reach. In markets where social sharing efforts are more mature, we are seeing strong improvements in customer acquisition. Our focus is to leverage our experience in these markets to support our sales leaders [indiscernible] with increased training, as well as improved technology and tools to facilitate more effective customer acquisitions and lifetime value. We'll continue to see these tools together with improvements in our technology roll out throughout this year and beyond. I'm also excited about the execution of our products strategy which is gaining momentum. ageLOC LumiSpa was launched a strong demand in most of our markets and was a key contributor to our results in the quarter. Mainland, China is introducing this product in the second quarter. We're also locking several additional products ideally suited to support social sharing around the world. For example EMEA enjoyed a very successful introduction of our new Powerlips longer lip line in the first quarter. Finally regarding programs, we initiated the rollout of Velocity our enhanced sales compensation program to our Pacific markets in December. Velocity is intended to reward sales leaders for improved performance in a faster and more flexible manner which is vital for us today. Its initial response strengthens our belief that Velocity will be a meaningful contributor to our business in the future. We initiated Velocity in Taiwan in April and will continue to extend the rollout to North America in June. Next our strategy of enabling growth throughout the regions; Mainland, China we generated strong customer growth of 14% with constant currency revenue growth of 22%. We saw a large increase in sales leaders in the fourth quarter of 2017 in connection with the global introduction of LumiSpa. As anticipated we had a close introduction decline in sales leaders but are pleased with 41% growth year-over-year. We look forward to the full launch of LumiSpa in the second quarter as well as our sold out Greater China convention that will be held this June in Hong Kong. Next the Americas Pacific region also had a very strong start to this year with 32% constant currency improvement driven by a 29% increase in our customer base. Our emerging markets are performing very well with Latin America growing rapidly. Additionally North America continues to be a leader in executing our growth strategy and our Pacific markets are responding very well to the introduction of our Velocity sales compensation plan as I stated. Southeast Asia and EMEA regions are experiencing positive results as well from the execution of our strategies by expanding social sharing to effectively drive solid customer grow with a 20% increase in Southeast Asia and a 15% increase in EMEA. We're encouraged with the double-digit local currency revenue growth we generated in Hong Kong and Taiwan as a result of LumiSpa and promotional activities related to social sharing. Finally, we're seeing improving trends to South Korea and Japan related to optimism around LumiSpa and social sharing. Local currency revenue in South Korea was up 1% in the quarter while Japan was down 2%. So we definitely feel that we have a lot of positive initiatives to grow our business by empowering our sales leaders to expand our customer base and look forward to continuing to execute our growth strategy throughout this year. Also we look forward to being with our top sales leaders from around the globe this next week at our Annual Strategy Alignment and Incentive. We will continue to partner with these great talented leaders to grow our business. And with that, I'll now turn the time over to Mark.
Mark Lawrence: Thanks, Ryan. I'll take just a few minutes to walk through our first quarter highlights and update our guidance for the year. As a reminder, we provide additional financial information in our release and on the investor section of our website. First quarter revenue was up 24% at $616.2 million driven by core Nu Skin global revenue growth of 14% in constant currency, 7% favorable foreign currency impact, 3% from recent acquisitions and double-digit growth in both our customers and sales leaders. Our first quarter earnings per share were $0.64 compared to $0.51 in the prior year quarter. As reported in an 8-K filed on February 28, we incurred a charge associated with the early conversion of our convertible notes which was not included in our original guidance and negatively impacted first quarter earnings by $0.12 per share. In addition due to purchase accounting, we incurred a $0.03 charge related to the amortization of intangibles from our recent acquisitions. We have very strong quarter of earnings against our previous guidance when adjusted for these unanticipated charges and compared with the prior year. You will notice that we have modified our segment disclosure to now include revenue from recent acquisitions in the other category. Additionally, our Pacific markets have now been combined with the Americas region. Our gross margin for the quarter was 76.3% compared to 77.7% in the prior year quarter. Gross margin in our core Nu Skin business improved 20 basis points over the prior year to 77.9%. The gross margin profile of our recently acquired companies is significantly lower than our core Nu Skin business. We expect to see margin benefits from the product manufactured for our core business by these partners later this year. Settling expenses as a percent of revenue were flat with the prior year, while general and administrative expenses as a percent of revenue improved 170 basis points due primarily to the higher revenue. Our operating margin improves to 9.6% for the quarter compared to 9.3% in the prior year. Our other income expense line reflects a $1.2 million gain versus a $4.6 million loss in the prior year. During the quarter, we've paid $19.8 million of dividends and repurchased 17.4 million of our stock. Our remaining share repurchase authorization is $110.6 million. As previously guided, we anticipated an elevated quarterly tax rate due to a FIN 48 tax accrual in Indonesia, our tax rate for the quarter was 41% compared to 34.1% in the prior your quarter. We anticipate the second quarter tax rate to be 33% to 34% with the year at approximately 34%. We recently completed a refinance of our debt through a new syndicated bank facility which provides for a $400 million term loan and a $350 million revolving credit line. We used the proceeds to settle the convertible notes and the existing credit facility, the new agreement puts us in a strong financial position to grow our business and increase shareholder value. We are pleased with the result of the new manufacturing partners we acquired during the quarter, these companies generated higher revenue than anticipated and have strong growth plans. Under purchase accounting, various intangible assets are created which need to be amortized over their anticipated value. The most significant impact for our financials will be in 2018 after which the amount will decline significantly and will not be material to our financial results. For the first quarter of 2018, we incurred a charge of $0.03 and we estimate amortization charges of $0.05 in the second quarter, $0.04 in the third quarter and $0.04 in the fourth quarter. Our previous guidance did not reflect these purchase accounting adjustments due to the timing of the acquisitions. Our revenue guidance for the second quarter is $630 million to $650 million representing 15% to 18% growth and includes an approximate 5% favorable foreign currency impact. We project Q2 earnings per share of $0.86 to $0.91. This guidance includes the $0.05 purchase accounting charge previously mentioned. For 2018, we are increasing our revenue guidance by $70 million. Our new range is $2.51 billion to $2.56 billion which includes a favorable foreign currency impact of approximately 3%. Earnings per share for the year are projected at $3.45 to $3.65 inclusive of the $0.12 charge related to the convertible notes and approximately $0.16 of amortization of intangibles from the acquisitions. With that, we will now open up the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Olivia Tong from Bank of America Merrill Lynch. Your line is open.
Olivia Tong:
Ritch Wood:
Olivia Tong:
Ritch Wood:
Olivia Tong:
Ritch Wood:
Ryan Napierski:
Olivia Tong:
Ritch Wood:
Olivia Tong:
Ritch Wood:
Olivia Tong:
Ritch Wood:
Operator: Your next question comes from the line of Tim Ramey from Pivotal Research Group. Your line is open.
Tim Ramey:
Ritch Wood:
Tim Ramey:
Ritch Wood:
Tim Ramey:
Ritch Wood:
Tim Ramey:
Ritch Wood:
Tim Ramey:
Mark Lawrence:
Ritch Wood:
Tim Ramey:
Ryan Napierski:
Tim Ramey:
Mark Lawrence:
Ryan Napierski:
Tim Ramey:
Operator: Your next question comes from the line of Faiza Alwy from Deutsche Bank. Your line is open.
Faiza Alwy:
Ryan Napierski:
Faiza Alwy:
Mark Lawrence:
Ryan Napierski:
Faiza Alwy:
Mark Lawrence:
Faiza Alwy:
Operator: Your next question comes from the line of Douglas M. Lane from Lane Research. Your line is open.
Douglas M. Lane:
Ritch Wood:
Mark Lawrence:
Douglas M. Lane:
Ritch Wood:
Douglas M. Lane:
Ritch Wood:
Douglas M. Lane:
Ritch Wood:
Mark Lawrence:
Douglas M. Lane:
Ryan Napierski:
Douglas M. Lane:
Ryan Napierski:
Douglas M. Lane:
Mark Lawrence:
Douglas M. Lane:
Ryan Napierski:
Mark Lawrence:
Douglas M. Lane:
Operator: [Operator Instructions] Your next question comes from the line of Beth Kite from Citi. Your line is open.
Beth Kite:
Mark Lawrence:
Ritch Wood:
Beth Kite:
Ritch Wood:
Beth Kite:
Mark Lawrence:
Beth Kite:
Mark Lawrence:
Beth Kite:
Ryan Napierski:
Beth Kite:
Mark Lawrence:
Ryan Napierski:
Operator: And your next question comes from the line of Mark Astrachan from Stifel. Your line is open.
Mark Astrachan:
Mark Lawrence:
Mark Astrachan:
Ritch Wood:
Mark Lawrence:
Mark Astrachan:
Ritch Wood:
Mark Astrachan:
Ritch Wood:
Mark Astrachan:
Mark Lawrence:
Mark Astrachan:
Mark Lawrence:
Mark Astrachan:
Mark Lawrence:
Mark Astrachan:
Mark Lawrence:
Mark Astrachan:
Ritch Wood:
Mark Astrachan:
Ritch Wood:
Ritch Wood: Okay, that's the end of the questions it looks like. We are really excited about this year. We appreciate everybody joining us today, and if you have further questions feel free to reach out. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation, and have a wonderful day. You may all disconnect.